Operator: Welcome to the second quarter 2009 Universal Forest Products Incorporated earnings conference call. My name is Katina and I will be your coordinator for today. At this time all participants are in a listen only mode. We will conduct a question and answer session towards the end of this presentation. (Operator Instructions) As a reminder this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s call Ms. Lynn Afendoulis, Director of Corporate Communications.
Lynn Afendoulis : Welcome to Universal Forest Products second quarter 2009 conference call. On the call today are Executive Chairman William G. Currie; CEO Michael B. Glenn; and CFO Michael Cole. Please be aware that any statements included in this call that are not historical are forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements are based on the beliefs of the company’s management as well as on assumptions made by and information currently made available to the company at the time such statements were made. The company does not undertake to update forward-looking statements to reflect fact, circumstances, assumptions or events that occur after the date the forward-looking statements are made. Actual results could differ materially from those included in such forward-looking statements. Investors are cautioned that all forward-looking statements involve risks and uncertainties. Among the factors that could cause actual results to differ materially are the following: adverse lumber market trends; competitive activity; negative economic trends; government regulations; and weather. These risk factors and additional information are included in the company’s reports on Form 10K and 10Q on file with the Securities & Exchange Commission. This call is the property of Universal Forest Products. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Universal is strictly prohibited. At this time I would like to turn the call over to Bill Currie.
William G. Currie : Thanks so much for taking the time out of your day to listen to our conference call for the second quarter. Many of you may be surprised by the results of this quarter but, I’m not and I won’t be the next quarter, or the next quarter, or the next year because I’ve watched this leadership team guide us through the toughest times in the company’s history and not just guide us through but brilliantly, brilliantly guide us through with great skill. I knew if anybody could pull it off it would be the guys at Universal. Mike, Glenn and his team made some tough decisions and embarked on some new initiatives that they said would yield results in the long term. Frankly, I wasn’t always convinced but they have proven to me the power of their decisions and their moves. They consolidated the right plants, their CI initiative is remarkable and is making our operations better and more efficient than they’ve ever been. They’ve paid attention to all the basics like our balance sheet, like receivables and inventory management and they’ve created success and profitability in the process. I’m as proud as I can be of a team who has delivered flawlessly on strategies designed to bring us through these kinds of recessions. We’re not out of the woods but I have every confidence we’ll continue to outperform everyone and we will be stronger in the months and years to come. I’ll now turn it over to Mike Cole for a review of our performance.
Michael B. Glenn : I’ll get things started by reviewing our income statement for the quarter. Our total net sales for the quarter decreased by 27%. We estimate this was comprised of a 19% decrease in unit sales and an 8% decline in overall selling prices due to the lumber market. As a frame of reference, commodity lumber prices during the period were approximately 22% lower than prices in 2008. Reviewing by market, our sales to the DIY market decreased 14% compared to last year primarily due to an 8% decline in prices as a result of the lumber market. Our unit sales were off 6% this quarter due to a decline in housing starts and consumer spending, offset somewhat by market share gains we achieved with big box customers. Our sales to the manufactured housing market decreased 47% for the quarter primarily due to a decrease in unit sales and soft lumber prices. [Inaudible] good shipments were off a reported 46% in April and May and modular production was also similarly off. As sales to the [Safeco construction market decreased 54% this quarter also do to a decrease in unit sales and soft lumber prices. Housing starts were off approximately 49% in April and May. Finally, our sales to the industrial market decreased by 24% for the quarter due to a 15% decline in unit sales and a 9% decline in selling prices due to the lumber market. Our unit sales have continued to be negatively impacted by decreased demand due to economic conditions but we believe we’ve gained market share due in part to acquisitions, adding new customers, expanding our product offering and increasing our penetration in to the concrete forming market. Moving down the income statement we’re pleased to report our second quarter gross margin increased to 16% from 12% last year and our gross profit dollars decreased by only 3% in spite of a 19% decline in unit sales. Our improved profitability was primarily due to improved material costs as a result of better buying and inventory management to protect margins, improved labor and overhead costs from plant consolidation and rightsizing efforts, lower fuel costs and lastly, the lower level of the lumber market. Selling, general and administrative expenses decreased by $5.7 million or 9% for the quarter which comprised of a $4.1 million reduction in SG&A for operations we previously closed and the decrease in the SG&A of existing locations totaling $1.6 million. This was primarily achieved through a decrease in compensation related expenses tied to a decline in headcount offset by an increase in accrued bonus and bad debt expenses. SG&A increased as a percent of sales due to a combination of the low lumber market and an increase in bonus and bad debt. We recognized a net gain of $700,000 related to the sale of certain assets and other impairment and exit costs this quarter. This net amount was comprised of a $1.1 million gain on the sale of certain real estate; a $300,000 charge to impair the value of certain machinery and equipment; and $100,000 of severance charges. Our net interest costs decreased by about $1.8 million due to a significant reduction in debt and termination of our sale of receivables program and a decline in short term rates. Additionally, the current quarter interest expense included approximately $360,000 related to a make whole payment on the early termination on $15 million of senior notes due December, 2009. As a result of the retirement of this debt, we expect our interest costs will be about $420,000 lower in the back half of this year. Moving on to our cash flow statement, our cash flow from operations was $62.7 million this year compared to $25.6 million last year. Also, I think it’s important to note that our operating cash flow number in 2008 included $23 million of positive cash flow related to our sale of receivables program that we terminated in September of 2008. Our operating cash flow in 2009 includes net earnings of about $15 million, $20 million of non-cash expenses and about $27 million related to a decrease in working capital. Working capital decreased primarily due to the reductions in inventory as we reached our primary selling season, the impact of a lower lumber market on our inventory levels and an increase in accounts payable with purchases and volumes increased during the selling season. These reductions are offset by an increase in accounts receivable due to higher sales volume at this time of the year versus December. Capital expenditures totaled $7.3 million in the first six months of 2009 as a result of efforts to curtail our spend. We currently plan to spend approximately $13 million for the year. We sold certain real estate for approximately $10 million so far this year and recognized the related gains in the income statement. Remaining real estate that’s classified as held for sale has a net book value of $3.1 million. Finally, our cash outflows from financing activities was $47 million as we retired the senior notes I mentioned earlier and paid off the remaining balance of our revolving credit facility which was a little over $30 million at the beginning of the year. A couple of points I’d like to make about the balance sheet; first, at the end of June, 2008 we had sold and outstanding approximately $50 million of receivables under our sale of receivables program. Excluding the impact of this program, our receivables last year would have totaled almost $278 million or 123% of June sales compared to $198 million or 122% of June sales in 2009. So, our receivables cycle was very consistent from 2008 to 2009. Second, our total interest bearing debt and amounts outstanding under our sale of receivables program decreased to $55.5 million at the end of June 2009 from $228 million at the end of June 2008 due to our strong cash flow. That completes my comments on the financials.
William G. Currie : Now, I’ll turn it over to Mike Glenn to give you a business overview. MG The other day in a presentation to our employees I said that I didn’t want to talk about last year or the year before or how difficult the past two years have been. I’m tired of that conversation, we all know it and we’ve all heard it too many times and quite frankly, I don’t want to dwell on the past because that is not who we are. We are focused on the future and that’s what I want to discuss because the future is very bright for Universal. We’ve been managing forward, making the tough decisions and focused on what we can control for long time and now it’s paying off. We’re well positioned in our industries and markets and we have every reason for optimism. But, don’t get me wrong, we’re not complacent. As I said to our employees, it’s like a baseball player who batted 125 last year and is up to 235 this year, it’s better but it’s not good. We’re doing better than we did in the most difficult year in our history but we’re far from doing great so that’s where we’re focused, on being a strong, great and growing company once again. Mike Cole gave you an overview of our financials and a rundown of our performance and our markets. I’d like to put our performance and future opportunity in context and for that the past is important. Consider this, we’ve gone from a peak of annual housing starts in 2005 of nearly 2.1 million, this year we’re expecting something like 535,000 starts a 75% drop. At the peak, HUD code shipments were 373,000, this year we’re expecting shipments of somewhere around 50,000 over an 80% decline. As recent as 2004 the composite lumber price which affects our selling prices was $473 a 1,000. In May, it was $198 a 1,000, a drop of 58%. In February of 2007 the Consumer Confidence Index which is the key driver in home repair and improvement expenditures was over 111. In February of 2009 it fell to 25, the lowest level since the measure was first taken in 1967, that’s a drop of 77%. All around us our market has been reduced to virtual ashes. It hurts everyone but we fared better than most of our competition. Some of our biggest competitors have had devastating results and have had to file for bankruptcy. The economy has hurt us too but we’ve been able to create success, find new roads for growth and opportunity and report earnings instead of losses and opportunities instead of challenge. How do we do this? Because, of a few basic simple things: one, we have a diversified balanced business model that gives us many avenues for success and doesn’t tie our performance to any one market or industry; two, we’ve always been a lean organization with employees who are empowered to make suggestions and who’s voices and ideas are heard and we have managers and leaders who are trusted to make decisions so we don’t have to go through layers of bureaucracy and procedures to get things done. That doesn’t mean we don’t have systems and procedures, they just reflect the leanness of our organization and the experience and wisdom of our people and the trust and autonomy that’s critical to organizations like ours that consider itself entrepreneurial. This allows us to be agile, to respond to issues and conditions quickly and allows us to be innovative which is the third reason for our success. Innovation allows us to not only be creative in our existing markets and business, it also ensures that we can reinvent ourselves when and where necessary. That’s why our industrial markets which started out as crates and boxes grew to be much more, it became to be specialty packaging, wood and wood alternative components for other products and most recently it took on concrete forming which is a very promising area. We’re also looking at some other significant avenues in industrial that could provide significant growth opportunities in new and excited directions and I hope to be able to talk about them in future calls. Innovation is why DIY market didn’t simply remain treated wood for us which is how we got in the business in 1978, it became hundreds of lumber products comprising thousands of SKUs at our retail customers and now a growing number of consumer products like wood composite decking, wood and plastic trellises, lattice and many other products. In fact, I just had a presentation by our new product development group. Some of the things that they’re planning to introduce in 2010 and 2011 are really cool and innovative products and they go way beyond wood and wood alternative products for decks and specialty products for lawn and garden and marine uses. Universal has many opportunities for growth and success in many areas. We have a culture that encourages innovation and accommodates change and we think ahead. We manage for the future, sure we’re one step ahead of the competition and our customer’s challenges and needs. We’re well positioned for the future. We have a diversified business model so we’re not dependent on any one industry. We have a solid balance sheet. Our organizational structuring philosophy and our innovation allows us to be agile and to anticipate and respond to changes in the market place. We are focused on the future and on growing our company and we make a habit of doing what we say we’re going to do. We’re very, very optimistic about the future. We’re hard at work to make sure that we continue to please our shareholders and our stakeholders.
William G. Currie : Now we’ll be more than happy to open it up for questions and we’ll try to give you honest, candid answers.
Operator: (Operator Instructions) Your first question comes from Steven Chercover – D. A. Davidson & Co.
Steven Chercover – D. A. Davidson & Co.: I do have a few questions, first of all were there any extraordinary items? Reversals or provisions or anything else? Mike mentioned a few really small things.
Michael B. Glenn : No, just the things that are on that line item of the income statement, the net amount of $700,000 those are all kind of unusual but everything else was pretty well routine and consistent from period-to-period.
Steven Chercover – D. A. Davidson & Co.: Well then can you expand, I think you mentioned $10 million worth of real estate sales, was that in the second quarter?
Michael B. Glenn : No, I was talking about the number on the income statement, the proceeds number so that was a year-to-date comment. We had sold some property in Oregon and we sold some property in Texas and then a couple of other small sales.
Steven Chercover – D. A. Davidson & Co.: Was that in the current quarter?
Michael B. Glenn : The gain associated with Oregon was in the first quarter, the gain associated in the proceeds also for Texas were recorded in the second quarter.
Steven Chercover – D. A. Davidson & Co.: So that’s not responsible for these margins in any way?
Michael B. Glenn : No, no, not at all. Those gains are on that line item of the income statement that I referred to earlier.
Steven Chercover – D. A. Davidson & Co.: The $716 million?
Michael B. Glenn : Correct. There’s a year-to-date amount and that year-to-date amount includes Oregon.
William G. Currie : I think it was $716,000.
Michael B. Glenn : For the quarter, yes. The margin is a different discussion and that’s a result of the breakdown that I gave you earlier.
Steven Chercover – D. A. Davidson & Co.: To make sure I understand, as lumber prices increase clearly your sales go up but the margins will probably recede a small bit, is that correct?
Michael B. Glenn : Correct. The overall level of the market, as you know lumber is kind of pass through for us so we try to start straight that way so in a low lumber market when you’re trying to get a certain profit per unit to be the same you have a higher margin and in a higher lumber market the reverse happens.
Steven Chercover – D. A. Davidson & Co.: I guess at the risk of asking you to make a forward statement, do you think that these margins are sustainable or at a level close to what you just put out?
Michael R. Cole : Steve you know there are four components that affected our margin in the quarter, one was transportation, we certainly got a break over a year ago and we think that transportation probably accounted for about 1% of our margin increase. The other one was all the rightsizing that we’ve done over the last 12 months so that certainly will stay there. The big part of it is our CI initiative where we’ve been able to increase our productivity through our plants with less people and to be honest with you, that’s a big part of this margin move that we’ve had. The other part is the lumber market, it’s at 1975 levels and although in some areas it’s problematic for us, in other areas it creates a lot of opportunities and by that what I mean is if someone would call us and say they have some number two lumber for $150 a 1,000 our guys no longer ask what width or what length, they know at that number they can buy it and cut it up and do something in it and turn it in to $350 wood. Our guys in the field did a terrific job of managing that lumber market to their advantage.
Steven Chercover – D. A. Davidson & Co.: Is it safe to say that you’re putting a lot of similar inventory on the ground?
Michael R. Cole : When the opportunity to buy is there we do it. The market moved up a little bit in the last month, we don’t think it’s sustainable so to answer your question we didn’t buy a lot of wood sitting on the ground right now. We think there may be another opportunity late in the quarter, early in the fourth.
Steven Chercover – D. A. Davidson & Co.: One last question and I’ll turn it over, what would you characterize your operating rates right now? You probably still have a lot of room to ramp up activity and presumably kick butt?
Michael B. Glenn : You’re getting at capacity utilization?
Steven Chercover – D. A. Davidson & Co.: Yes.
Michael B. Glenn : That’s a difficult question for us to answer with as many different plants as we have. But, one of the things we kind of pitch around is if you look at our current sales levels and the current capacity we’re at today, we think we can get to the sales goal in our 2012 plan of $3 billion without a heck of a lot of expansionary cap ex. That kind of gives you a kind of big picture look at what our capacity utilization is.
Steven Chercover – D. A. Davidson & Co.: So to ramp it up would you go first to providing some overtime for the crews and then maybe a second shift?
Michael B. Glenn : We can certainly do those things too to further expand capacity.
Operator: Your next question comes from Trey Grooms – Stephens, Inc.
Trey Grooms – Stephens, Inc.: A couple of questions, you kind of broke out how much of an impact transportation had on your margin increase, could you try and give us a little bit more color on what the other three drivers of the improved margin, what kind of impact they had?
Michael B. Glenn : Labor and overhead were about a point and a half better than last year and the balance was in the material cost as a percent of sales. A point and a half as a percent of sales so labor and overhead were about 1.5% of sales lower than previous year’s year-over-year and the balance of the improvement was material costs.
Trey Grooms – Stephens, Inc.: I guess this kind of goes as a follow up on the last question, is there any reason – these are margins that we haven’t seen you guys put up in I don’t know how far back you have to go to see it but is there any reason why when things get better, demand improves, why we couldn’t expect for you guys to put up a similar type margin under a much better demand kind of scenario?
Michael R. Cole : The answer to that is yes. I think there are a couple of things in there Trey that I want to talk about. One is we talked about transportation and the pick up that we had, we also think that there’s a lot more money in our transportation and we’ve got a, I hate to use the word taskforce but, a group that’s together. We think we’ve got about another $1 million minimum that we can pull out of our transportation costs over the next year. We’re also focusing in on some of what we call office optimization and we’re looking at taking some costs out of our offices and getting a little bit leaner there and we feel that we can pull a fair amount of costs out. But, at the same time as we go from $2 billion to $3 billion we’re going to be able to handle that with the same amount of people. The only thing that will be different Trey is we have certain fixed adders with Home Depot so $80 on $200 wood is one margin, $80 on $400 wood is a different margin and that’s something that we can’t control. That’s the only thing that would have a little bit of a negative impact.
Michael B. Glenn : That’s not so much a negative impact it just makes you look at the margin, it results in a different margin number. We’re still getting the same profit per unit.
Trey Grooms – Stephens, Inc.: On the profit per unit is that the majority of your sales to Home Depot are structured like that?
Michael R. Cole : No, it’s strictly our treated dimension and it’s not the majority of our DIY sales.
Trey Grooms – Stephens, Inc.: Then did mix between the different end markets, did the change in the mix there have any benefit or takeaway for margin at all in the quarter?
William G. Currie : The [safe built market is extremely competitive. We have not chased the bad business, we let everybody else do that and so that market segment is down by choosing.
Trey Grooms – Stephens, Inc.: Could you guys give us just kind of a guess, I mean you guys have done a great job of paying off debt throughout this entire downturn, can you give us kind of a sense of where you think it might shake out for the year?
Michael B. Glenn : Where debt will shake out for the year? I don’t want to provide a forecast because we’re not doing that any more but we expect to continue to generate cash flow through the balance of the year.
Trey Grooms – Stephens, Inc.: And you expect to continue to pay debt down with that cash flow generation?
Michael B. Glenn : We don’t really have any left that you can pay off. We are left with industrial development bonds which earn interest or accrue interest at less than a point, we have a senior note that is out there that is not due until 2012 it’s a very attractive fixed rate and has a prepayment penalty so we don’t want to do that. We’ll be accumulating cash but suffice to say we’ll be looking at investment opportunities, we’ll be looking at share repurchases and probably in 2010 we’ll probably look at expansionary cap ex.
Trey Grooms – Stephens, Inc.: I guess my last question is just to clarify you had mentioned and I don’t know if I heard it wrong or not but, interest expense could be I think you said $400,000 lower in the back half. Is that per quarter or for the entire second half of the year?
Michael B. Glenn : That’s for the second half of the year so you’d want to divide that equally between the third and the fourth quarters. That’s because that $15 million note isn’t outstanding anymore and we used available cash.
Operator: Your next question comes from James McCannless – FTN Equity Capital Markets.
James McCannless – FTN Equity Capital Markets: I wanted to talk more about the mix and the fact that you’re not chasing the bad business in [site build. Is that potentially the way you guys are going to look in two or three years that [site build continues to go down, you’re doing more DIY and industrial sales?
Michael B. Glenn : I think that’s partly true. I think the other thing we’re going to do is we’re going to chase different business in the [site build side of it. The production builders certainly put a lot of pressure on your margins but there’s commercial projects and there’s a lot of government projects going on right now that we’re in the midst of doing that gives us a little bit better margin than we have today.
James McCannless – FTN Equity Capital Markets: Because I was looking back at during the boom periods and I think the highest gross margin you achieved in that ’02 to ’07 period was roughly 16.7%. I mean, do you think based on the mix of business that you’re going to be doing going forward that that is a level you could exceed with all the rightsizing you’ve done, etc.?
Michael B. Glenn : I don’t want to keep coming back to it too much but with the level of the lumber market is a fairly sizeable impact. One thing, you’ll want to go back and adjust for the level of the lumber market and then look at the margin. That period may have been a period where demand was high and lumber prices were high so go back and adjust those to current lumber price levels and then look at the margin. That will have an impact.
James McCannless – FTN Equity Capital Markets: Assuming that things are on the upswing on a national basis from here, how much more rightsizing do you think you have left to do? Are you 90% there, 95% there, etc.?
Michael R. Cole : We always look at our plants in good times or bad and those that don’t perform we’ll close. We have an analysis that we do that if plants are costing the companies cash, if they’re in a negative cash position then we put them on notice. If we don’t see improvement then we’ll close them. So to answer your questions, yes to be honest with you we’ll probably look at a couple more plants.
Michael B. Glenn : But that list of plants is a pretty short list today.
William G. Currie : It’s in the 90%.
James McCannless – FTN Equity Capital Markets: In other words the list of problem plants is much smaller now than it was say a year ago or something like that.
Michael R. Cole : Oh much.
Michael B. Glenn : Absolutely.
William G. Currie : You don’t even have to hold up one hand and you can count it.
James McCannless – FTN Equity Capital Markets: Then I just wanted to get some commentary from you guys on manufactured housing, what you’re seeing out there, what your thoughts are about that industry right now?
Michael R. Cole : Who would have thunk 50,000.
James McCannless – FTN Equity Capital Markets: It’s a pretty shocking number.
Michael R. Cole : But long term we do believe in that industry. We do believe that it’s affordable housing for America. We’ve still got to get through some of these foreclosures, we’ve still got to get some financing for the industry but we believe in the industry. We don’t know if it will ever get back to 375,000 floors but we certainly think it could get back up to 175,000 to 200,000 floors.
Operator: Your next question comes from David Leibowitz – Horizon Asset Management.
David Leibowitz – Horizon Asset Management: A few brief questions, first you indicated in your prepared remarks that you might increase your cap ex next year 2010. Where would those monies be going and roughly how much can we quantify that number?
Michael B. Glenn : It’s too early for us to try and quantify that yet. We’ll go through our budgeting process in late Q3. But, there’s been a lot of interest in equipment at existing plants dedicated to industrial business so that will certainly be something we take a hard look at.
David Leibowitz – Horizon Asset Management: Usually on these calls you talk to any potential acquisitions you see out there without identifying them but the industries they’re in and given how hard this period has been on the competition not to mention yourselves, do you see yourself becoming a bit more aggressive in that area.
Michael R. Cole : David, to be honest with you we had spoken with one company early in the quarter that we thought we could make a deal with and it didn’t come about. We are talking to a few other companies right now. We do see opportunities out there and we are chasing them carefully.
David Leibowitz – Horizon Asset Management: In terms of the big box customers are you taking on more responsibility for additional regions with them?
William G. Currie : Yes. We’re taking on more responsibility for different regions and we’re also taking on more business with some of the other players that are out there.
David Leibowitz – Horizon Asset Management: At the moment what percentage of your total business is with Home Depot.
Michael B. Glenn : Depot is about 35% of our sales for the year-to-date which is up over last year. We did gain share with the big boxes.
William G. Currie : Thank God it’s up.
David Leibowitz – Horizon Asset Management: What about Lowes has that been growing as quickly for you as Home Depot?
William G. Currie : Yes.
Michael R. Cole : We are growing with different types of products with Lowes than we do with Home Depot and we’ve also been growing, making nice inroads with Menards.
David Leibowitz – Horizon Asset Management: The other question, your new product development has been quite active over the last few years, what percentage of your total revenue are products that you introduced within the last 24 months?
Michael B. Glenn : That’s actually not a metric we track David. We track the value added products as a percent of sales but we don’t track new products. But, our consumer products group has been very active in new products and our core plants have too. It’s an important part of our initiative through 2012.
William G. Currie : David, the introduction of new products especially the consumer type products it’s not the volume that’s important in that particular formula it’s the margin enhancement and the customer satisfaction that’s important because it maintains all your other product lines and that’s why that innovation and new products it helps you in a lot of areas. It’s not just purely a kind of volume thought process.
David Leibowitz – Horizon Asset Management: Last question if I may, the long term debt as a percentage of total capital is amongst the lowest not just for you but within the industry. Are you concerned that being under leveraged might make you the recipient of a hostile offer?
William G. Currie : We can’t know that. We just run our business David and our business right now is cash is king and it’s still going to be cash is king. We don’t have any debt and we don’t want any. The banks are not that easy to work with right now and we’re happy that we don’t have to negotiate with them.
Operator: With no further questions in queue I would now like to turn the call back to Mr. Bill Currie for closing remarks.
William G. Currie : Again, thanks very much for the questions and for your interest in our company. As I always say, we’re going back to work and we’re working for you and I hope we can give you some more pleasant surprises. Thank you very much.
Operator: Thank you for your participation in today’s conference. This concludes your presentation. You may now disconnect. Good day.